Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Immersion fourth quarter and 2009 conference call. (Operator Instructions) This conference is being recorded today, Tuesday, March 30, 2010. I would now like to turn the conference over to our host, Mr. Alex Wellins of The Blueshirt Group. Please go ahead.
Alex Wellins: Good afternoon. During today’s call management may make forward-looking statements which may include projected financial results for operating metrics, business strategies, anticipated future products, anticipated market demand or opportunities and other forward-looking topics. These statements are subject to risks, uncertainties and assumptions. Accordingly, our actual results could differ materially. For a listing of the risks that could cause this, please see our latest Form 10-K filed with the SEC today, as well as the factors identified in today’s press release. With that said, I’ll turn the call over to Vic Viegas. Vic?
Victor Viegas: Thank you for joining us this afternoon. We are pleased to report our Q4 and year end results today, along with a very important strategic announcement. As you know it’s been a challenging year for Immersion. We are happy to have the investigation and resulting conclusions behind us, and to shift our focus to 2010 and beyond. We appreciate your patience and understanding of our decisions to postpone today’s report by a few weeks, as we felt it was prudent to exercise caution in closing out the year’s financials, given the recent restatements. Today we are also very excited to announce an asset sale of our laparoscopy, endoscopy, and endovascular medical product lines, as well as the licensing agreement with CAE Healthcare, a wholly owned subsidiary of CAE. CAE is a $1.6 billion world leader in the simulation and modeling market. I will review the details of this agreement and provide more highlights on our go forward strategy and our outlook, but first let me provide you with a high level overview of our financial results for the fourth quarter and fiscal 2009. Fourth quarter revenues of $6.9 million were up approximately 6% from $6.5 million in the same period last year. Royalty and license revenue grew 38% to $4 million, and represented approximately 58% of total revenues. Product sales revenue decreased by 20% to $2.4 million, representing approximately 35% of total revenues. Turning to a breakdown by group, Touch revenues for the quarter increased by 33% to $4.4 million and represented 65% of total revenue while Medical revenues declined by 32% to $2.4 million and represented 35% of total revenue. On an annual basis, revenues of $27.7 million were down slightly from revenues of $28 million in the prior year. For the full year 2009, royalty and license revenue was roughly flat year-over-year at $14.2 million, and represented 51% of total revenues. Product sales grew 7% to $11.9 million and represented 43% of total revenues. Development contracts and other revenues were down 38% to $1.6 million, and represented 6% of total revenues as we continue to de-emphasize development work in favor of efforts that focus on leveraging our existing sales and channel distribution capabilities. Breaking out revenues by group, Touch revenues of $16.3 million were down 3% from $16.8 million last year and represented 59% of total revenue. This decline primarily reflects a decreased royalty and license revenue from the gaming and automotive sectors, partially offset by increased license revenue from the Mobile and Medical Device category. In addition, the 2008 results include one time deferred revenues of $1.1 million from ISLLC and the Gaming segment. Medical revenues of $11.4 million were up 1% from $11.2 million last year and represented 41% of total revenues. Fourth quarter total costs and expenses of $12.2 million declined by $2.7 million or 18% from the prior year period. Backing out the investigation and restatement expenses of $1.9 million in Q4, we achieved even greater cost savings on a year-over-year basis. For the full fiscal year, total costs and expenses were $58.2 million as compared to $77.1 million in 2008. Excluding the $20.75 million settlement payment to Microsoft in 2008 and total investigation and restatement expenses of $5.2 million in 2009, operating expenses were roughly flat year-over-year. Net loss for the fourth quarter totaled $4.3 million or $0.15 per share as compared to a net loss of $10.7 million or $0.38 per share in the same period last year. Net loss for the year was $28.3 million or $1.01 per share versus a net loss of $51 million or $1.72 per share for fiscal 2008, which includes the impact of the Microsoft settlement as mentioned previously. We ended the year with cash, cash equivalents and short term investments of $63.7 million as compared to $69.7 million exiting the September quarter. On our last conference call, we announced the strategic decision to stop selling Medical simulation products so that we can focus on what we do best, that is developing innovative solutions for a highly targeted number of end markets and vertical growth segments and licensing to customers worldwide, leveraging the largest IT portfolio of haptics in the world. We believe we have substantially achieved this goal through the sale of our laparoscopy, endoscopy and endovascular Medical product line to CAE Healthcare. But we also granted a non-exclusive, worldwide license for Immersions’ haptic based technology and medical training application. After the close of the transaction, CAE Healthcare intends to retain existing manufacturing, operations, research and development, service and support and sales personnel. This will result in Immersion reducing its headcount by approximately 35, after which we expect to have a total of approximately 100 employees, which we believe is the right size to execute on our go forward strategy. As with other license agreements, Immersion will not be disclosing the details of the license agreement with CAE. However, Immersion will receive license fees for rights granted under the non-exclusive license plus approximately $1.6 million under terms of the asset sale. As the world leader in providing simulation and modeling technologies, and integrated training solutions for the civil aviation industry and defense forces around the globe, entry into the surgical simulation markets is a natural extension for CAE Healthcare. This is a great opportunity for our medical employees, customers and distributors as they take the business forward. Importantly, we believe CAE Healthcare is an ideal partner for Immersion within the medical vertical, which remains an integral part of our licensing strategy going forward, not only in the medical simulation market but in other areas like surgical robotics, where we have other valuable licensees such as MAKO Surgical. On our last call I also highlighted other major opportunities for technology within touchscreen including mobile, consumer electronics, medical devices, IT and white goods, as well as the increased prevalence of touch interfaces within the automotive market. As we transition to a pure play licensing model, we expect to succeed in three ways, through the increased penetration of touch based solutions within our core markets; through increased volumes from our existing and new licensees; and through increased ASPs via continued innovation and technology leadership. Along with our dedicated sales and design professionals, working directly with licensees to create exciting products with haptics, our ecosystem approach of partnering with many of the leading touch focused semiconductor companies is also an integral part of this strategy. By integrating our haptics technology into the chip offerings of current partners including Atmel, Cypress and IDT, and leveraging the thousands of field application engineers they have selling their products into a wide range of end markets, we will accelerate the penetration of our offerings while reducing our overall expense structure. Before I move on to a discussion regarding near term guidance, I’d like to highlight a few of the recent product innovations which we believe will help grow the underlying market, while also expanding our ASPs over time. At the recent 2010 Mobile World Congress in Barcelona, we announced new solutions to power touch feed back effects and user experience design and applications for mobile handsets and other devices. This included our piezo-based TouchSense 5000 solution, which enables true, high definition haptic effects for significantly improved feedback quality and fidelity; and our TouchSense 4000 solution which uses multiple conventional motors to power next generation effects. Our TouchSense 4000 solution is also incorporated into the Fuse concept phone, which demonstrates multiple interface technologies including multi-touch capacitive sensing, haptics feedback, 3D graphics and 4 sensing. Our latest haptic solutions are being very well received by our current and prospective OEMs, with TouchSense 4000 currently available and shipping in our partners’ products. And TouchSense 5000 expected to ship in commercial mobile handsets in the second half of 2010. In addition, Immersion is poised to capitalize on another emerging trend with touch enabled solutions in tablet PCs, where we currently see a lot of design activity. Turning to a discussion of our near term outlook, as indicated on our last call we expect to generate revenues of at least $25 to $30 million in 2010. Now that we have largely exited the medical products business, we expect the Medical segment to contribute approximately $3 to $5 million of that total. Additionally, we expect to be profitable on an adjusted EBITDA basis for the year. Today’s agreement with CAE Healthcare further solidifies that goal, significantly reducing our operating expenditures and allowing us to benefit from the higher margins associated with the primarily license oriented model. While we don’t expect to provide quarterly guidance regularly, given that we are at March 30, it seems prudent to give you a little color on expected Q1 results. We anticipate total revenues of approximately $8 million with royalty and license revenues comprising approximately $6 million. The balance includes contributions from our remaining virtual ID product lines, which we don’t manufacture but will continue to sell and ship through our distribution partner, Laerdal Medical. On the expense side, we expect operating expenses to normalize over the next few quarters based on lower legal fees and the reduction in headcount as a result of our agreement with CAE Healthcare. To conclude my formal remarks, we are very confident and excited regarding our business. Haptic solutions are essential to transforming the digital user experience and Immersion is extremely well positioned to capitalize on this trend, with the largest portfolio of IP related to haptics in the industry. We believe today’s announcement with CAE Healthcare is a good strategic transition for the company, allowing us to focus our core strategy on licensing, our TouchSense solutions and offering the most promising outlook for a return to profitability and long-term value for our stockholders. And as we execute under this model, we expect to benefit from a solid pipeline of new business opportunities and a robust technology roadmap moving forward. I know it’s been a while since we caught up with a lot of you, and we intend to be active with the investment community in the months ahead. We plan to present at several financial conferences during the second quarter and also look forward to seeing investors out on the road. Thank you for your continued interest and support of Immersion. We will now open up the call to your questions. Jeremy?
Operator: Thank you sir. (Operator Instructions) Your first question comes from Jeff Schreiner - Capstone Investments.
Jeff Schreiner - Capstone Investments: Vic, the first question I’d like to ask is, understanding you don’t want to talk about the nature of the agreement but could you help us understand will the medical licensing business or the medical licensing agreement with CAE equal a portion of each shipment? Is there some type of licensing payment that they may make, whatever that may be? And maybe kind of just help us size the medical opportunity in terms of the licensing as you move forward.
Victor Viegas: Sure. As I mentioned in the guidance portion, we believe that our Medical business will generate roughly $3 to $5 million in license fees during 2010. A significant part of that effort will be our licensing initiative in the marketplace with medical simulation companies that are designing and developing their product solutions. In addition, and in particular the agreement we have with CAE Healthcare, there is a license grant as I mentioned and there is commitment to ongoing license fees that they will be paying based on their business. So it is going to be a part of our going forward licensing revenue. It’s a significant part of our business and one that we expect to grow by licensing to others in the industry.
Jeff Schreiner - Capstone Investments: And are there any targeted levels now as you move out? And you talked about OpEx levels normalizing. Well, could you help us understand what normal would be? I mean, being a licensing company during this transition as you move towards that, I mean shouldn’t we expect a run rate of less than $3 million per quarter when you look at G&A and R&D? Any guidance you could give there would be very helpful.
Victor Viegas: Sure. As I mentioned, if you look at the fourth quarter of ’09 we had a substantial reduction in our operating expenses. I think they decreased by almost $3 million. But that also includes, in the fourth quarter, about $1.9 million related to restatement. So if you back that out, the current fourth quarter is somewhere in the neighborhood of about $10 million. As I mentioned also, the transition we’re going through here with CAE will move about a third of our total headcount from our current operating cost structure, they will be moving on and working with CAE. So the largest expense category for it is employee costs and with a third of our people moving on, I think you’ll see that operating expense run rate dramatically lower. I’m not sure I see $3 million in the near term, but I think it will be substantially lower than the roughly $10 million that we just had in the fourth quarter.
Jeff Schreiner - Capstone Investments: Could you give us kind of an update just on when you’re giving guidance for the full year it seems like maybe you have some fairly decent visibility to come out and do that today, and just wondering, you know, how are you feeling still about the mobile in regards to not seeing it drop off from you know the ramp we’ve seen stay primarily from Samsung and LG? And you know it looks as if Nokia may have some products on the market for 2010. You know, how are you factoring that? Does it look like both can be growth drivers still for you or are they going to kind of offset as we move into fiscal year 2010?
Victor Viegas: Well we do expect growth with Nokia. We’re excited to see them launch their phones with Immersion’s haptic technology. From my vantage point I think the continued growth, substantial growth in touchscreen enabled phones, smartphones if you will, but also all categories of phones that are incorporating touchscreen. The demand is high from consumers and from carriers. The value prop is clear and understood. And so we’re seeing quite a bit of growth in just terms of the volume of touchscreen phones and the volume of Immersion enabled touchscreen phones as well. Plus as I mentioned, we do have some visibility based on we do report quarterly in arrears, so we’ve got quite a bit of confidence in our gaming business and our mobile market based on royalty reports already in hand. And as you look out over the balance of 2010, I think we’re confident that with the launch of the piezo solution that we’ll be increasing some ASPs and so we should gain volume benefits, we should gain ASP benefits and given what we know about the investment in this market we believe that we will see significant growth here in the mobile market for sure.
Jeff Schreiner - Capstone Investments: Okay, just a clarification and my last question here. Thank you for your time. You stated about adjusted EBIT level or adjusted EBITDA for fiscal 2010 will be profitable. Just so I’m clear, that doesn’t mean one quarter out of four may be profitable. Maybe it does, if you could clarify that. Or does it mean that for the full year 2010 you now expect that you could be profitable on adjusted EBITDA levels? Any clarification would help.
Victor Viegas: Sure. Yes, the estimate for 2010 is based on a full year analysis so we believe that over the full four quarters that we will achieve this adjusted EBITDA profitability. If you back out expenses like non-cash based stock expenses, for example, I think we’ve got enough visibility on the revenue line. As we move quickly to reduce our expenses, we’ve done a fair amount of cost reduction already, but I think as you see the other expenses related to the restatement, as we migrate away from the medical simulation products business, the combination of those and the benefits that they drive to the bottom line give us confidence that for the full year measurement that we will be on an adjusted EBITDA basis profitable.
Operator: Your next question comes from Mark Argento - Craig-Hallum Capital.
Mark Argento - Craig-Hallum Capital: I know in your prepared remarks you made mention about tablet PC opportunity. Is that just kind of addressing some of the popular press right now or do you have any kind of products that you’re working on right now that we could actually see something happen there this year?
Victor Viegas: Well we did have a partner of ours showing at CES a tablet device. We also have quite a bit of interest and design activity through our semiconductor partners. So given that visibility and knowing the energy going towards finishing those designs and launching products, we’re pretty confident that we’re going to have a nice base of business in the tablet market.
Mark Argento - Craig-Hallum Capital: Is that something that you could see impacting the 2010 numbers, being part of the $25 to $30 million in guidance this year?
Victor Viegas: You know it’s really a function of our partners launching their products. And so without a lot of control over there, it’s hard to predict. It’s also hard to say how meaningful it will be. I’d say I’m hopeful that we’ll have some revenue generated in 2010, but I’m optimistic given the interest in the value that we bring to that user interface as well as the feedback from the partners. It’s pretty clear it’s going to happen. It’s just a question of when.
Mark Argento - Craig-Hallum Capital: ASPs you think you could drive off a device like that relative to a handset? Or do you think you could actually start to get paid for the technology versus I know you’ve been caught, you know, fairly underpaid for the technology in the handsets. Do you think you can extract the right economic value or better economic value?
Victor Viegas: You sound like I do when I’m in my sales meetings. We want to increase the revenue piece. We believe the value is substantial so we’re always pushing as hard as we can. The tablet market from our perspective it’s a different solution. It requires a different control element and different type of technology from Immersion. It’s robust. It’s essentially ready for market, but the solution will be higher than what we generate from the smaller mobile market.
Mark Argento - Craig-Hallum Capital: And just some clarification around the guidance. I know you had talked to the $25 to $30 million for the year, but I think you said of that about $3 to $5 million will be medical license fees. And I just also wanted to understand, I know for Q1 of the $8 million that you provided in guidance for Q1, you said $6 million will be royalty and license and $2 million in medical. And I assume that’s medical products, I think you said you’re going to sell through your relationship with Laerdal. So if I think about your full year guidance of $25 to $30 million, should I assume basically $3 to $5 million in medical license and an additional $2 million in medical products sales? Is that the right way to think about it?
Victor Viegas: Well, I think $3 to $5 is what we still believe is the licensing opportunity from the medical space. During the quarter we had product shipment from these product lines that were transitioning over to CAE. So the $8 million includes in the neighborhood of $1 million plus in product sales that will be going over to CAE in Q2. The $6 million is representative of the licensing business and those were approximate numbers. So I think you do have a little bit of a mixture there of ongoing touch licensing business, some medical licensing revenues plus some medical product sales as we make this transition to CAE.
Mark Argento - Craig-Hallum Capital: But when you said $3 to $5 million in medical license fees for the year, that’s separate from the product sales?
Victor Viegas: That’s correct.
Mark Argento - Craig-Hallum Capital: Just circling back on the adjusted EBITDA profitability for the year, so you’re saying for the full year, if you add up all the quarters, you guys will be breakeven of profitable on an adjusted EBITDA basis. Is that the right way to think about it?
Victor Viegas: That’s what we believe, yes. That’s correct.
Mark Argento - Craig-Hallum Capital: So you guys should get basically your expenses at or slightly above, dependent upon what the add backs are to your revenue. And so if you guys are doing $7, $8, $9 million a quarter in revenue, your expenses have to be kind of at that level which would suggest you can get them down below that $10 million a quarter which I think you alluded to earlier. I just want to make sure that’s what you’re talking about.
Victor Viegas: Yes. I think if you look at the fourth quarter, we were at $12.2 million. Of that $1.9 was related to our efforts in our restatement. If you then reduce that by the headcount costs and the other operating expenses related to the medical product line, we should be substantially lower than the $10 million. And as we get down to the $6 to $7 million range, that drives an adjusted EBITDA profitability.
Mark Argento - Craig-Hallum Capital: Do you have a cash balance number for us for the end of the quarter here, roughly? I know I think you ended, was it $63 million at the end of the year or $67?
Victor Viegas: $63.7 at the end of the year. We haven’t closed our books for Q1, so we don’t have a final number. I did take a quick look at the end of February and we had I think something higher than $65 million, so we added some cash in the first two months of the year.
Mark Argento - Craig-Hallum Capital: That’s good to know. Burn has actually turned the other way and you’re actually generating cash, so that’s positive.
Victor Viegas: Yes. I think if you look at our operating expense, the combination of growth and revenue, decrease in expenses, a significant portion of our expenses has been non-cash based expenses. So as you eliminate those as part of the cash flow analysis, you’ll see that from a cash flow standpoint we should be profitable for the year as well.
Mark Argento - Craig-Hallum Capital: My true actual last question, it looks like you did $4 million in royalty and license revenue in Q4, I believe that’s the right number. And you talked to Q1 at roughly $6 million. What’s being incrementally additive to that line? And you know it was $2.8 in September, $4 million in December, now $6 million in Q1. You know what’s going on there? Is the $6 million, does that include a one time payment or up front license payment at all from your new partner, [CSE] or whatever the name of the organization you partnered with on that product? What’s going on in that line item in particular?
Victor Viegas: Sure. So the partner is CAE and there’s no financial impact in the numbers I just gave you from that transaction. So I think you’ll begin to see the benefits of the CAE relationship in Q2. I think what’s going on is what we’ve been kind of disclosing. It’s been hidden by some of the other distracting operational challenges for the company, but underlying those issues and behind the scenes there’s a tremendous effort on the part of our company. We’re doing a very good job at promoting the value and the solution of our haptic technology. The market really appreciates it and for years of training and educating, we’re seeing design wins; we’re seeing increased investment and a lot of interest in the space. So I think you’re seeing growth in the business, which is what we’ve been predicting. I think most people haven’t been able to really appreciate that because of the other challenges. But it is not a one time payment. I will tell you there is some seasonality benefit we get because of the fourth quarter sales in gaming as well as in the mobile market. So the first quarter is going to be a stronger quarter, based on the royalty reports in hand, based on sales at the end of 2009. We have that benefit, but I think in general you’re seeing just greater interest in what we offer, a lot more design wins and real healthy business momentum that we’ve been creating behind the scenes.
Mark Argento - Craig-Hallum Capital: So overall unit volumes are up on products that you’re shipping with the technology on the handset side along with other pieces?
Victor Viegas: Yes. Absolutely.
Operator: Your next question comes from Aaron Husock - Lanexa Global Management.
Aaron Husock - Lanexa Global Management: Since it’s been a while since we’ve had kind of an earnings call in real time, can you give us the handset unit numbers for each quarter of 2009? I think you gave us Q1 a long time ago. I think it was 15.3, but if you could fill in the rest of those numbers that would be very helpful.
Victor Viegas: You know, Aaron, I don’t really have that number handy. I can you tell you that the numbers I’ve seen I think are in the neighborhood of about 75 million units for the year.
Aaron Husock - Lanexa Global Management: Do you happen to know what the Q4 number was?
Victor Viegas: No I do not.
Aaron Husock - Lanexa Global Management: Do you have a mobility or handset sales number for the year?
Victor Viegas: We don’t really break it out in any level of detail. I think the number is somewhere in the neighborhood of about $8 million for the full year.
Aaron Husock - Lanexa Global Management: On the CAE deal, when should we expect that deal to close?
Victor Viegas: I believe it closes today or tomorrow. Let’s just say over the next one or two days. There’s some delivery of documents that are required, but the agreement has been signed and it’s a formal contract between us.
Aaron Husock - Lanexa Global Management: And the virtual ID product line, is that, I guess that’s around $1 million a quarter in sales. I guess first is that right? Is it right around $1 million? Is that kind of something you want to be a part of the go forward business or maybe you’re looking for somebody else to take that line at some point?
Victor Viegas: That’s a product line that we sell through our partner, Laerdal. It’s something that we are able to outsource the manufacturing, so I think given our technology and our innovation in that space, I think it’s one we’ll probably continue as current. We enjoy that relationship and we want to continue with it.
Aaron Husock - Lanexa Global Management: And it’s around $1 million a quarter or is it smaller than that?
Victor Viegas: I think it’s smaller than that but I don’t really, we don’t break out the revenue quite that fine.
Aaron Husock - Lanexa Global Management: You said the accounting and restatement costs were $1.9 million in Q4. I mean you had kind of the final [fullery] during Q1 of 2010, but you’ve been done for part of the quarter. Should we expect that $1.9 to go up or down in Q1?
Victor Viegas: I don’t have anything other than my general estimate at this stage is somewhere in the $7 million range, so I would say Q1 is probably similar to Q4 of ’09.
Aaron Husock - Lanexa Global Management: Okay.
Victor Viegas: But we are wrapping that up, so I would say the bulk of those expenses have been incurred.
Aaron Husock - Lanexa Global Management: So $7 million is the total cost of the restatement?
Victor Viegas: That’s the estimate that I’ve been given.
Aaron Husock - Lanexa Global Management: Can you talk to who your 10% customers were in Q4?
Victor Viegas: No, I can’t.
Aaron Husock - Lanexa Global Management: It seems like you got pretty good reception to the 5000 series at Mobile Congress. As you look out and you’re talking to your handset customers about their plans for the holiday 2010 model launches, do you expect the 5000 series to be over 10% of your handset sales in the fourth quarter of 2010? Or should we think of it as more of a 2011 timeframe before it’s very meaningful?
Victor Viegas: You know, it’s a good question. It’s hard for us to really predict the launch plans and the marketing behind those plans, the timing. We know that the experience, as you remember, Aaron, when I saw you over in Barcelona, you know people really appreciate the benefits that the new technology offers. So we know there’s a lot of interest and a lot of energy towards launching products, but the timing and again the volume success they have in [san] is something we can’t predict. I think given the nature of what we do to quick design cycle, I would expect 2011 to be a year that you could probably bet on being a solid year of piezo-based product launches.
Operator: Your next question comes from John Zaro - Bourgeon Capital.
John Zaro - Bourgeon Capital: Most of my questions have been answered. I just have one follow up. I think, and I just want to make sure that I heard you, the license, when you sold the medical business you’re getting the license fees plus $1.6 million in cash? Is that?
Victor Viegas: John, we really didn’t sell the medical business. What we did is we essentially sold some assets, right?
John Zaro - Bourgeon Capital: Right.
Victor Viegas: We sold assets roughly at book value. That includes inventory, some fixed assets, and that was roughly $1.6 million. So that was one part of the transaction. The second part of the transaction is a license agreement and in the license agreement there are licensees that are to be paid over time, based on business.
John Zaro - Bourgeon Capital: And in essence you took, since we just did a similar thing, you’re taking the employees and they’re taking the employees, they’re taking all these various assets and the other pieces, and for that they’re paying you the $1.6 million and the fees, and those people are all going to work for them. And they’re taking the manufacturing.
Victor Viegas: So again, the one agreement was an asset purchase. Inventory success, that’s $1.6, that’s what it was for, that’s how it was valued. The other is the license under our patent portfolio, just like we do with all our other licensees. We license them which allows them to build themselves products and for that they pay license fees.
John Zaro - Bourgeon Capital: Right. Okay.
Victor Viegas: Separate from that, then, there’s a transition where the 35 or so employees will all become employees of CAE. CAE picks up the distribution agreements, the customer relationships, and they carry on the business as we have in the past. So our customers are taken care of, our employees are satisfied and taken care of. We make an exit from a product business.
John Zaro - Bourgeon Capital: Right. And you don’t have any write offs or the other stuff related to it.
Victor Viegas: I don’t believe there will be any write offs that I’m aware of. No.
John Zaro - Bourgeon Capital: And because you don’t have to pay severance or anything.
Victor Viegas: That’s correct.
John Zaro - Bourgeon Capital: And then my second thing has to do with I know you weren’t specific in that you used a number substantially lower than the $10 million we saw in the fourth quarter. I assume that there’s some sort of plan that we’re by the third quarter we’re going to get to $6 or $7 million? I mean, in other words sort of a gradual draw down or should we see a pretty substantial drop to whatever level you’re going to get to?
Victor Viegas: Well I think I’ve come back within the company and now I think on month number five, and during that period we have been consistently making decisions around how to cut expenses, how to operate more efficiently. We’ve been moving towards this change in business model. I think you’ve seen some cost savings. You’ll continue to see some additional cost savings. I think you will see a substantial change as we go into Q2, where about a third of our headcount will drop off.
John Zaro - Bourgeon Capital: And then hopefully next time you’re going to get the earnings stuff out before 10 minutes to 5?
Victor Viegas: We had it in queue and we tried to get it out on time and so it is out, but it didn’t happen as fast as I guess we probably wanted.
Operator: Thank you. And we have no further questions at this time. Everyone may now disconnect.